Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Nature's Sunshine's financial results for the second quarter ended June 30, 2025. Joining us today are Nature's Sunshine's CEO, Terrence Moorehead; CFO, Shane Jones; and General Counsel, Nate Brower. Following their remarks, we'll open the call for analyst questions. Before we go further, I would like to turn the call over to Mr. Brower as he reads the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Nate, please go ahead.
Nathan G. Brower: Thank you, and good afternoon. I'd like to remind everyone that this call is available for replay by telephonic dial-in through August 14 and via a live webcast that will be posted on the Investor Relations portion of our website at ir.naturessunshine.com. The information on this call contains forward-looking statements. These statements are often characterized by terminologies such as believe, hope, may, anticipate, expect, will and other similar expressions. Forward-looking statements are not guarantees of future performance, and the actual results may be materially different from the results implied by forward-looking statements. Factors that could cause results to differ materially from those implied therein include, but are not limited to, those factors disclosed in the company's annual report on Form 10-K under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The information on this call speaks only as of today's date. And the company disclaims any duty to update the information provided herein. Now I would like to turn the call over to the CEO of Nature's Sunshine, Terrence Moorehead. Terrence?
Terrence O. Moorehead: Thank you, Nate, and good afternoon, everyone. I want to thank you for joining today's call to discuss our second quarter results. Today, I'll provide some context for our second quarter performance and offer some insights into how the business is building momentum. From there, Shane will take you through our financials in more detail. In the second quarter, Nature's Sunshine continued to build on the momentum we saw in Q1 with another quarter of strong performance. Our team is focused. The strategies are holding steady, and we continue to position the company for long-term sustainable growth. For the quarter, revenue came in at $115 million, up 4% versus the prior year or 2% in constant currency. Q2 adjusted EBITDA was also strong, coming in at $11 million, an 8% increase versus the prior year's adjusted EBITDA of $10 million. These results reflect strong execution across the business with standout performance in Japan, continued strength in Central Europe and improved traction in North America, where we saw a notable acceleration in our digital business. As we move into the back half of the year, we remain focused on unlocking long-term value through strong consumer engagement and continued execution of our sales and marketing strategies. We delivered these results despite ongoing uncertainty from the current macroeconomic environment and the evolving trade and tariff situation. Fortunately, we've taken strong proactive measures to minimize our exposure and safeguard our business. We're also closely monitoring consumer spending patterns and whether household budgets come under increased pressure. Having said that, our focus remains unchanged as we continue to implement strategies to drive customer growth and strengthen our value proposition with targeted investment, new innovation and more reliable service. As a result, we believe our growth strategy continues to demonstrate significant long-term potential. Looking at our business by geography. Asia Pacific saw sales in the second quarter increased 5% or 2% on a local currency basis. Growth in the region was driven by another exceptional quarter in Japan, where sales increased 27%. Our focus on attracting younger consumers while leveraging our Subscribe & Thrive Autoship program continues to pay dividends as we saw a strong growth in both customers and orders in the second quarter. Taiwan and South Korea experienced strong growth for the past 3 quarters, but we saw softer results this quarter as consumer spending slowed. In the second quarter, both Taiwan and South Korea faced a more challenging macroeconomic environment, driven by slowing exports, fragile domestic demand and increased uncertainty surrounding trade policy. Taiwan slashed its GDP forecast as tariff fears escalated, while South Korea narrowly avoided recession and grappled with weak consumption and the threat of new import duties. In both markets, inflationary pressure, political instability and a shift in global trade environment have raised new challenges. As we move into the back half of the year, we expect tough comparisons to pressure our year-over-year growth trends in these markets, but we're confident in the strength of our underlying fundamentals and expect to see improved performance as the macroeconomic environment stabilizes. Asia Pacific will continue to be a key growth driver of our business. In North America, we continued to make significant progress as sales increased 4% versus prior year, driven by strong performance in our digital business, which grew 34% and continued to build momentum. This further validates the strength and potential of our digital strategy and puts us on track to deliver our long-term objectives. We also continued to build momentum in our Subscribe & Thrive Autoship program, which remains the most attractive way for consumers to buy our products. The program continued to expand in the second quarter and now represents over 50% of DTC sales, and we expect this to help drive further sales growth as we optimize and improve the experience. As we continue to strengthen our digital capabilities, we believe our digital footprint will continue to expand and grow. Another important factor driving North America's second quarter performance was the significant improvement in field fundamentals, discipline and sales support. Our specialty retailers, nutritional health practitioners and affiliates responded well to increased touch management and targeted field activation as sales with this very important group improved in the quarter. Moving to Europe. Sales were up 1%, but down 2% in constant currency, reflecting the timing of price changes between Q1 and Q2. Notably, we experienced robust growth in Central Europe, which was supported by strong management and disciplined execution across the region. The success of our Power Line products continued to drive customer growth and help expand customer activation, including expansion in the Baltic states. We also saw average order increase, which, in this case, is a strong sign of consumer loyalty and engagement as our positive sales trends continued. Overall, we remain confident in the underlying direction of the business. In summary, the strategy we've outlined sharpening digital execution, stabilizing the core business in North America and driving focused growth in key international markets is working. Importantly, we're seeing progress on these fronts at an accelerated pace, and we believe the momentum is sustainable. Shane is going to talk about this in a -- a little bit later. But as a result of our strong first half performance and increased visibility into the back half of the year, we're increasing our full year guidance to remove some of the risks associated with market uncertainty and to reflect the positive direction of the business. Based on the momentum we're seeing, we have a more positive outlook for our full year sales and adjusted EBITDA. Shane will provide more details and insights in a moment. But with that, I want to turn the call over to our Chief Financial Officer, Shane Jones. Shane?
L. Shane Jones: Thank you, Terrence. Let's dive into our results. Net sales in the second quarter were $114.8 million, compared to $110.6 million in the year ago quarter, a 4% increase versus the prior year or a 2% increase excluding the impact of foreign exchange rates. As Terrence discussed, this was driven by a resurgence of growth in North America as we saw acceleration in both digital and the core. Looking at sales by market in Q2, I'll start with North America. North America sales grew 4% on both a reported and local currency basis. This represents the best quarter for North America in over a year and reflects an acceleration in both the digital and the core businesses. Digital grew 34% in the quarter, driven by increases in the number of ordering accounts, a 180 basis point improvement in retention and a step-up in conversion. We also saw a meaningful increase in our Subscribe & Thrive Autoship program that now constitutes 53% of DTC revenue. Likewise, the core business continues to show steady sequential improvement driven by strong distributor engagement and better field activation. We're excited about the momentum that we see in both parts of the North America business and expect continued growth in the quarters ahead. In Asia Pacific, we reported growth of 5% to $52.7 million or up 2% when excluding the impact of foreign exchange. This was driven by very strong growth in Japan where sales on a local currency basis grew 27%, fueled by continued growth in customers and orders as well as strong participation in our Autoship program that makes up nearly 50% of sales in Japan. Japan has now seen 20% plus growth for 4 consecutive quarters, validating the strategic adjustments made last year. In addition, we have seen some sequential improvement in China sales trends, where Q2 sales were essentially flat, reversing the decline seen for over a year now. While we are certainly seeing some stabilization and expect that to continue, China continues to be impacted by a difficult macroeconomic environment. Results in Taiwan were challenged this quarter with reported sales up only 3% after exceptional growth over the past 3 quarters. While some of this is driven by timing, we do expect tough comparisons in Q3 and Q4 to impact year-over-year growth trends this year. Therefore, we expect low to mid-single-digit growth from Asia Pacific for the balance of this year. Sales in Europe during Q2 increased 1% on a reported basis, but were down 2% on a local currency basis. Central Europe continued to perform well, with reported sales up 15%, driven by strong execution and disciplined cost management across the region. Our Power Line product focus and growing customer engagement across the Baltics region continued to drive robust growth in both customers and orders. The strength in Central Europe was offset by a 5% decline in Eastern Europe, driven by the year-over-year timing of price increases between Q1 and Q2. Looking at Q1 and Q2 combined, provides a more accurate depiction of the Eastern European business where sales increased 2% over that period. The strength in Central Europe, combined with continued low single-digit growth in Eastern Europe gives us confidence in our strategy as well as in our ability to continue to deliver mid-single-digit growth in that region. Gross margin in the second quarter increased 36 basis points to 71.7% compared to a year ago, driven by our gross margin savings initiatives. Despite the year-over-year expansion, Q2 gross margin results were muted by headwinds from market mix and foreign exchange. Looking forward, as we continue to execute against our pricing and sourcing initiatives and as the impact of foreign exchange rates diminishes, we expect continued modest improvement in gross margin. This improvement will be despite the impact from tariffs and continued trade volatility. We have a diverse supply chain and have already taken measures to prepare for and mitigate changes in trade policy. Therefore, we believe we are well positioned to be able to adapt and adjust as necessary and expect no impact to gross margin in 2025. Volume incentives as a percentage of net sales were 29.9% compared to 31.4% in the year ago quarter. The decrease was primarily due to the strong growth in our digital business, along with changes in market mix. Selling, general and administrative expenses during the second quarter were $43.7 million compared to $38.6 million in the year ago quarter. The increase was primarily related to timing of compensation, digital ad spend and nonrecurring expenses. As a percentage of net sales, SG&A expenses increased to 38.1% in the second quarter compared to 34.9% a year ago. Operating income decreased to $40.3 (sic) [ $4.3 ] million or 3.7% of net sales compared to $5.6 million or 5.1% of net sales in the year ago quarter. GAAP net income attributable to common shareholders for the second quarter was $5.3 million or $0.28 per diluted common share compared to net income of $1.3 million or $0.07 per diluted share in the year ago quarter. Adjusted EBITDA, as defined in our earnings release, increased 8% to $11.3 million compared to $10.4 million in the year ago quarter. Our balance sheet remains clean with cash and cash equivalents of $81.3 million and 0 debt. Inventory increased to $69.3 million at the end of the second quarter, a $4.4 million increase versus Q1 as we purchase additional raw materials to prepare for and mitigate the impact of tariffs or potential supply chain disruptions. Net cash provided by operating activities was $7 million compared to $3.5 million in the prior year period. We repurchased 1.1 million shares for approximately $12.3 million during the 6 months ended June 30, 2025, with $21.4 million remaining on our share repurchase program. This repurchase activity includes our participation in the secondary offering and demonstrates our confidence in the business and commitment to driving long-term shareholder value. Looking beyond share repurchases, our healthy capital allocation structure positions us well to continue our digital transformation and other strategic initiatives. Now turning to our 2025 outlook. Based on the improved momentum in the business, especially in North America, we are raising our guidance for 2025. We now expect full year revenue of $460 million to $475 million compared to previous guidance of $445 million to $470 million. This new range equates to year-over-year growth of 1% to 5%. For adjusted EBITDA, we are now guiding to $41 million to $45 million versus the prior range of $38 million to $44 million. This new range equates to year-over-year growth between 1% and 11%. This assumes that gross margin will be modestly higher in Q3 and Q4 and that quarterly SG&A will be $41 million to $42 million. Overall, we continue to believe the business is well positioned to capitalize on current market opportunities and remain very optimistic regarding future growth prospects. The strategic initiatives we've been implementing are working, and we are confident in our ability to accelerate growth in sales, profitability and cash flow. Now I will turn the time back to the operator.
Operator: [Operator Instructions] Your first question comes from Brian Holland of D.A. Davidson.
Brian Patrick Holland: Congratulations on the strong results this quarter. Just picking up where Shane left off on the guidance. Plus 1% to plus 11% on year-over-year EBITDA still seems to imply like a pretty wide range. So just curious what you're thinking about on both ends of that range? What's being contemplated that you would end up at plus 1%? And what would have to happen for you to get to plus 11%?
Terrence O. Moorehead: Shane, do you want to grab that?
L. Shane Jones: Sure. Happy to do that. So we're seeing good momentum in the business, as we've talked about, especially in North America and have a lot of confidence in that. We've got several initiatives that we're beginning or continue to accelerate into the latter half of this year and expecting very good results from that. I think the big thing that will be -- the difference there will be really on our digital business. We've seen an acceleration. If that acceleration continues, we'll be near the top end of that. If we don't, that's where we'll likely be a little bit lower, not lower than the guidance range, but lower in the range.
Brian Patrick Holland: Understood.
Terrence O. Moorehead: We're running on the top end of that range.
L. Shane Jones: The other thing is Asia -- sorry, the other one would be Asia. Just Taiwan, we've seen a little bit of a deceleration in the growth rate there. We expect that to be very strong in Q3 and in Q4, but we are having very tough comps, and so depending on how that ends out, that could be slightly different as well.
Brian Patrick Holland: Okay. And then I appreciate the color on the SG&A line for the second half of the year. But if I just kind of wind this back, again, this is just my number, so it may be apples and oranges to some extent. But I think you beat EBITDA in my model in the first half by about $3.5 million. You took the guide up $2 million. I'm just curious if there's anything changing in the second half versus original expectations? And maybe the thing that I wanted to double-click on was, obviously, the SG&A number in Q2 included some digital investment. I'm just wondering if that's something that you're doubling down on given the momentum that you talked about specifically in this quarter and the inflection in the North America business in particular.
Terrence O. Moorehead: Good insight, Shane?
L. Shane Jones: Yes, that's a good catch there. We did have -- we saw some great results in our digital, and we did apply some additional funding there to our digital media about $1 million extra, which paid out in additional sales as well. As we go through the rest of the year, we'll be very thoughtful about how we do that. And if we continue to see the strong returns that we're seeing, we'll spend a little bit more, but that will be -- have a very strong return on that investment.
Terrence O. Moorehead: But we do want to keep that digital growth moving going forward. So we like to see it in that plus or minus 30% range, and we're investing to make that happen.
Brian Patrick Holland: And Terrence, I think you mentioned in your prepared remarks you talked about innovation. I'm just curious, certainly, in my sort of core consumer packaged goods space, we're really seeing the impact of kind of this Make America Healthy Again movement. And we see it in a number of forms. Just curious to what extent you're seeing that focus hit your business and the extent to which you are or can be nimble from an innovation standpoint to sort of meet the moment.
Terrence O. Moorehead: Yes, I definitely think there's momentum behind that, especially with the consumers that we would want to talk to. They're already in that space. They're very motivated by that. The innovation that we're putting out in the market is -- it's new, it's fresh. We've got some first-mover opportunities for us that are doing quite well. New products like our Marine Glo, marine-based collagen is kind of very exciting. So again, there's freshness there that comes from new products, but also having that first-mover position in the right areas is critical for us, and we're going to keep pushing that lever.
Brian Patrick Holland: And last one for me, and I'll get out of the way. You've talked previously about the CapEx investments and the cost savings coming from increased automation, et cetera. Obviously, this opens up a fair amount of incremental capacity within your manufacturing network, your advantage within the industry, to the extent that you do self-manufacture. Just curious if you could kind of talk about the pipeline, either from an M&A or co-manufacturing standpoint, whereby you would be able to leverage that capacity with either another brand or brands or some other partnerships. It seems to me to be a huge leverage opportunity, but just kind of curious if that pipeline exists as we look out over the next 6 to 18 months through the end of '26?
Terrence O. Moorehead: Yes. Brian, you're exactly right. We have done a lot of work to improve our throughput and efficiency in the plant, which has freed up capacity, and we're actively looking at ways to fill that capacity, both by driving growth of -- organic growth within the business, but also through kind of possible third-party opportunities. Shane, I don't know if you want to add any color to that or not.
L. Shane Jones: Yes. We have a couple of opportunities that we're working through right now. We are in very early stages though, probably not a lot that we can talk publicly about this.
Terrence O. Moorehead: Yes. But the opportunity is there, and we're actively pursuing kind of those opportunities, which, as you mentioned, that just helps the economics of our business and the efficiency of our operations.
Brian Patrick Holland: Fair enough. Appreciate all the color. Keep up the great work.
Operator: [Operator Instructions] Your next question comes from Susan Anderson of Canaccord Genuity.
Susan Kay Anderson: Nice job on the quarter, you guys. I guess maybe just going back to North America, obviously, great result in the digital business. It sounded like the core business with the practitioners and the retail partners also improved. I guess I'm curious, did you see a return to growth there? And then I think you mind just kind of some better engagement, better field activation. Maybe if you could expand a little bit on kind of what's driving that improvement and then your expectation there for the rest of the year?
Terrence O. Moorehead: Yes. On the core, we didn't quite see kind of growth across all those segments combined, but we did see a vast improvement in activation and sales overall. So I think we're really pleased with what's going on there. In terms of kind of the things that we're doing to drive that activation, I spoke a little bit about just improved touch management in the field. Making sure that we're spending time with those folks providing appropriate -- just putting discipline, it's basic field fundamentals, blocking and tackling. I can't tell you how, and I think you and I have spoken about the importance of this in the past of just getting that blocking and tackling kind of right which is important in any sales organization, no matter where you are, making sure that we're giving people the right sales tools. We've changed some staffing so -- in the field organization. So we've got some new people out there, some new talent that is really driving change, driving results, built out our sales support team as well just to make sure that we're giving people the right level of support across the business. So those are just a series of things that we're doing, and I think we're seeing some momentum as a result of that.
Susan Kay Anderson: Okay. Great. That sounds good. And then I guess, just looking out to the back half by region, you mentioned some tough compares in Asia coming. I guess how should we think about the puts and takes in terms of growth and the drivers there as we look out in the back half? Should we expect maybe North America to kind of start to be more of the driver of growth there versus the international markets we've seen over the last few quarters?
Terrence O. Moorehead: Yes, I think we would expect to see continued acceleration in North America. That's going to -- again, with the momentum that we've got on the core side of the business is going to continue, but digital as well. So we've got a really solid, I think, proposition building in North America, and we'll get that to where we want to by the end of the year. As we mentioned, we've got some very tough comps in Asia Pacific, but it's a strong business. And Shane, do you want to provide some additional commentary on APAC?
L. Shane Jones: Yes. So we're looking for the back half of the year to be low single digit to mid-single digit, low to mid-single digit for APAC. And if you look at what we'll likely see in there, we'll see some growth in Taiwan, but it will be more muted than what we've seen in the past. We're likely to see stabilization in China and some growth there. Korea continues to struggle. So it may be flattish there. But then Japan will continue to do very, very well, and that will be what really drives that region. So we do expect continued growth, it will just not be at the double-digit levels that we've seen over the last few quarters.
Terrence O. Moorehead: And remember, Susan, last year, Q3 and Q4 were largest quarters in the history of the region. So to Shane's point, you're talking about huge numbers that they're going up against. So still very strong performance in Asia Pacific going forward, just kind of not at the growth multiple that we've seen in the past.
L. Shane Jones: Right. And then as we move to Europe, we do expect growth in Europe as well. Most of that will be coming from Central Europe as we expect double-digit growth to continue in Central Europe and then likely low single-digit growth in Eastern Europe. So -- but good results in Europe as well. And then as Terrence talked about, North America, that's where we see the most acceleration, we're most excited about that largely because digital will continue to grow at that 25% plus level. And as that happens and then the base business also is close to flat. That's going to result in better numbers from North America, likely in the mid-single-digit range.
Susan Kay Anderson: Okay. Great. That was really helpful. And then I guess maybe just touching on the gross margin really quick as well. I think you -- well, to get to your annual, I guess, the back half has to be a little bit higher. Maybe just talk about kind of the drivers there versus the first half?
L. Shane Jones: It's really -- we've been working on our gross margin initiatives for some time, and those gross margin initiatives have been muted by headwinds from -- a, from FX and those FX headwinds are going to abate or at least they appear to be going to abate here as rates come down in those regions, especially in the APAC regions. And additional to that, we've had a headwind from mix. That headwind from mix, just because North America tends to have a little bit lower gross margin than APAC and as more -- as North America does better and APAC does not quite as well as it has in the past, there's a little bit of a headwind there. Some of that will continue. But really, as our gross margin initiatives take hold, we would expect, as we've said, modest improvement in the back half of the year.
Susan Kay Anderson: Okay. Great. And then one last one, maybe just looking out at the new product pipeline for -- I guess, for the rest of the year, we've noticed some new stuff on the website like you mentioned, the Marine Glo collagen. I guess how should we think about these new products? Do they kind of make an immediate impact or does it take time to build them to really kind of help to drive that growth? I know the Power Line was obviously a really huge success. So I guess just in context, how should we think about these other new products? And then do you have anything else coming out the rest of the year?
Terrence O. Moorehead: I think that -- obviously, it depends on the new product. But certainly, they do provide consumer energy. They provide consumer acquisition -- activation, excuse me, as well as new customer acquisition. So I think they're important. We have such a large portfolio and a large business. I don't know if a single product is necessarily going to move the year, but they certainly will build momentum over time. And our goal with products like -- with things like the Power Line is to move the business over time. The goal with something like Marine Glo and getting into collagen, which is such an important area, vibrant growing area. Collagen is growing 15% to 20%. It's going to continue to grow at that pace over the next several years. So kind of being in that space and having a relevant position in a high-intensity growth segment like that is very important. And so again, we're going to continue to make sure that we're placing products in the right areas to help us get momentum over time, to help us attract new customers, to help us reactivate consumers, and so I think that's kind of how we think about it, Susan. It really all is about customer acquisition and then getting repeat purchase. And these are the types of products that are very well suited to do that because people want to use them and they do use them every single day so -- on an ongoing basis. So I think we should expect to see the cumulative effect of our innovation and new product development to really make a difference to the business going forward.
L. Shane Jones: And on that, Marine Glo, we actually launched just over a month ago. So it's a fairly new product, doing really well, beating our expectations at this point in time. So excited about the potential that it has. But as Terrence noted, it's not going to drive a huge increase in our numbers right off the bat.
Operator: There are no further questions at this time. I would hand over the call to Mr. Moorehead for closing remarks. Please go ahead.
Terrence O. Moorehead: Okay. Thank you, Alan. I'd like to thank everybody for listening to today's call, and we look forward to speaking with you when we report our third quarter 2025 results in November. So thanks again for joining us, and have a great day. Take care, everybody.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may now disconnect, and thank you for your participation.